Donald Lindsay: Thank you, Ron. Before we close, I would like to update you on the status of the many development projects that we have underway, on Slide 24. In Coal, the feasibility study for the restart of the Quintette coal mine is proceeding and is expected to be complete sometime the middle of this year. Assuming the results of the study are positive and development proceeds, the mine could be in production by 2013 at an annual rate of approximately 3 million tonnes per year. At Relincho, the pre-feasibility is underway and is expected to be completed in the third quarter of 2011. At Quebrada Blanca, a full feasibility study commenced in early 2011 and is expected to be completed by the end of the first quarter in 2012. And a positive feasibility study could potentially result in the decision to undertake project development with production in early 2016. Continuing in Copper, the Galore Creek pre-feasibility is expected this quarter in 2011. And I did refer to our expansion study for Andacollo earlier. In our Energy Division, we're working on a pre-feasibility study for the Frontier Oil Sands project with the possibility of Equinox being a satellite mine to that. This study is expected to be complete in the fourth quarter of 2011, which will also be marked by filing of the regulatory application. So we have lots of exciting growth opportunities coming, and I look forward to reporting on the development status of these projects. In summary, although this was a very challenging quarter for us from an operational point of view and particularly in coal, we usually expect that in Q1. And this quarter, I guess, more than lived up to that. We are glad we have the quarter behind us, and we look forward to continuing to ramp up our production. Otherwise, we have a strong balance sheet. We're now focused on the strong and increasing cash flow from our business. Our Coal business is very exciting with robust fundamentals in market prices, and we're increasing production for a relatively small amount of capital. Our Copper production will grow over the next year with the completion of the expansion of Antamina, and we're moving forward with several development projects to further enhance shareholder value. So as you see, we have lots of growth already on the agenda. And with that, I'd like to open up the questions. Actually, just before our questions, I would like to take a minute to introduce our new Senior Vice President in Coal, Ian Kilgour. Ian has a very strong history in mining and an extensive background in coal. From 2007 to 2010, Ian served as President and CEO of Antamina and certainly did an excellent job there. Prior to heading up Antamina, Ian served as General Manager of Business Improvement and Optimization at BHP Mitsubishi Alliance, which is, of course, the largest producer and exporter of coking coal. And preceding BMA, Ian was the General Manager of BHP's Goonyella Riverside coal mine, which is a large scale open-pit operation that produces approximately 10 to 11 million tonnes per year at that time. I can tell you, since Ian has joined us, we've been extremely pleased with how things are going. He's really on top of all these other business [ph]. And with that, I would like to turn it over to questions.
Operator: [Operator Instructions] The first question is from Meredith Bandy from BMO Capital Markets.
Meredith Bandy - BMO Capital Markets Canada: So first question, the Andacollo study that was recently announced. I wondered if you could give us just a little more detail about how soon could we potentially see that expansion? And do you have any guidance on potential cost?
Donald Lindsay: We're really just beginning it, but I'll turn it over to Roger Higgins to give whatever overview [indiscernible].
Roger Higgins: Meredith, yes, it is very early for us to be talking about it. We are doing a study which will take us through to the end of this year, and that will -- we would expect to define the configuration in terms of equipment we would need to put in place. And we'll also define the requirements we will need for a new environmental impact study and, in particular, the water supply. As you remember, we've had -- water supply for the Andacollo has been a significant point for us over the last couple of years, and we need to redefine where we'll get that water from and the permits for it. Given those things, we would say that from the end of this year onwards, we are 24 to 30 months away from having all of this equipment and all the permits in place. I think it's a bit premature to put a capital cost on the project yet.
Meredith Bandy - BMO Capital Markets Canada: And so what are the potential solutions for the water supply issues?
Roger Higgins: We have two potential solutions. One is to look at our circuit, understand exactly how much water we're using and see what we can do to optimize that water use. So that we then need to minimize the second part of the solution, which is to get some additional water either through water rods from somewhere in the vicinity of our operations.
Meredith Bandy - BMO Capital Markets Canada: And then as a quick follow-up, I think on the sites, it was mentioned that there might be a potential to add a moly circuit. Is that still the case? And does this expansion make that more or less feasible?
Roger Higgins: It has always been the intention, Meredith, to add a molybdenum circuit, and we are in testing process of the concentrates. The moly circuit will treat the copper concentrate to extract moly, so we were waiting till we had a firm stream of copper concentrate before we did the final test work. That test work has been underway for some time. It has been the intention to add a moly circuit, and yes, we would continue to do that at the expanded rate. That's the expectation.
Donald Lindsay: At the expanded rate, okay. Great, thank you very much.
Donald Lindsay: I think the way you should look at this is that we're quite happy with the ore body. The recoveries have been higher than expected, and we do know we can increase the resource. And so when we look at where we can deploy capital, this is very efficient capital on a per tonne in the expanded copper capacity basis. So that's why we want to take a close look at it and see if we can do that.
Operator: The next question is from Sal Tharani from Goldman Sachs.
Sal Tharani - Goldman Sachs Group Inc.: I wanted to ask you a little bit about the principal market of copper. At the [indiscernible] week, there was a lot of concern among physical traders that it's been very sloppy. Have you seen any changes? And also with the Japanese smelters down, have you seen any disruption in your intake of concentrate by these Japanese producers?
Donald Lindsay: I'll turn the question over to Andrew Stonkus.
Andrew Stonkus: Yes. Regarding the Japanese situation on copper, there's one smelter that's been impacted, and there -- the reports are that they're studying the situation there and with opening possibly later on this summer. So the impact on the concentrate market, some cargoes have been diverted to other smelters in other location. So there has been a near-term impact on the copper concentrate situation, but fundamentally, we still view it as a structurally deficit market. So we're seeing some nearby products also being diverted to other locations, and that has impacted the near-term spot market for concentrates. With regard to the metal situation, the -- if you look at the Shanghai exchanges, in particular, they've been declining since the beginning of March. So what we're seeing is demand in China is still strong, and the fabricators are trying to draw down the Shanghai inventory themselves. And we're also seeing a reduction of scrap availability. So the fundamentals for the copper demand side still are holding up. The International Copper Study Group is still forecasting a deficit market from metal this year as well. So we see metal premiums trying to pick up somewhat and strengthen, so we're still pretty confident on the copper-metal side of things as well.
Sal Tharani - Goldman Sachs Group Inc.: I have one more question on the CapEx outlook you gave in the press release. I noticed that the Copper CapEx you kept the same, almost, but you have moved around from development to sustaining. Your development CapEx from last quarter went from down -- so you're up from $285 to $405 million while your sustaining went down. Is there any shift in just the allocation or is that some shift in the strategy?
Donald Lindsay: Little embarrassing, we made a boo-boo at the Antamina expansion within the sustaining. In the first quarter, it should've been in the development. So we apologize for that.
Sal Tharani - Goldman Sachs Group Inc.: Okay, that's fine. Thank you very much.
Operator: The next question is from David Charles from GMP Securities.
David Charles - GMP Securities L.P.: I'd just like to go back maybe to the Coal business for a little bit. You have negotiations coming up at Fording River. And I was wondering even though you probably have a media blackout on that, if you could give us some color there as to how those negotiations are going, especially after you've settled with Elkview. And earlier in the year, of course, we had the unfortunate problems in Japan, and I'm wondering if you're seeing any changes in coal demand from steel producers in Japan following the earthquake.
Donald Lindsay: On the first part, your sense of it is correct. Our objective is to achieve a new contract without disruptions of operations. We don't think a strike is productive for either party. We are in discussions, and really beyond that, we can't comment. And then for the next part of the questions on -- and who would like to take that, Bob Bell?
Robert Bell: David, as far as coal demand from Japan, there was very little impact for steel-making coal caused by the earthquake and tsunami. There was one plant affected, but the production from that plant's loss was picked up by other plants. We have not seen an impact, as of yet, on our demand for product into Japan.
David Charles - GMP Securities L.P.: And how do you see -- like the economy there with the fact that they're having rolling blackouts or brownouts, whatever you want to call them, I mean, do you think that the outlook for the Japanese economy is looking reasonable for the rest of the year? Are they through the worst or do you think it may stay weak for a while longer?
Robert Bell: In the very short term, I think that's an unanswered question. There has been some speculation on the impact of rolling blackouts, but we've already -- also seen some information to suggest that our production, at least with one of the major producers, has picked up again already. So we haven't seen an impact in our business caused by that. That's an outstanding question. In the longer term, there is going to be some rebuilding, and obviously, that will have an impact on the economy as they rebuild, reconstruct some of the facilities that were damaged by the tsunami.
David Charles - GMP Securities L.P.: Excellent. Thank you very much.
Operator: The next question is from Orest Wowkodaw from Canaccord Adams.
Orest Wowkodaw - Canaccord Genuity: Two questions, first being cash allocation. By my numbers, you're going to be generating north of $4 billion a year in free cash next couple of years. Don, can you give us an update of what you see doing with that cash, whether we can expect the dividend to be restored to the pre-crisis level or perhaps share buybacks?
Donald Lindsay: Yes, this is a question we've been asked frequently, and my answer is usually is that I'll wait till we have the cash. Now it is happening now, and we are in a very strong cash generation position. But we do have a pretty long list of growth projects ahead of us. And so I think in this particular period, letting the cash build up and seeing what the results of these feasibility studies and pre-feasibility studies are, for the actual capital requirements, is pretty important. So I think we need to wait a few more months before we would look at anything related to the dividend. The dividend, of course, is always a board decision. And at each board meeting, we'd take a look at it. But for now, we're going to stay the course we've always had before and build up cash in anticipation of the capital expenditures we have ahead.
Orest Wowkodaw - Canaccord Genuity: Are you able to pull forward some of that CapEx spending on some of these long projects, or do you think you really have to wait for the studies to be completed in full?
Donald Lindsay: Well, that is something that we look at in every case, and we have pulled forward some expenses to try and reduce the lead time for equipment orders. In fact, we're doing that at Quintette. And that's something we look at in each case. But the amount that you pull forward isn't as material as you might think. In the end, to make a full construction decision for a Quebrada Blanca, for example, that's a multibillion dollar project, and you wouldn't want to get too far down the line before you have the final feasibility and final board decision.
Orest Wowkodaw - Canaccord Genuity: And just shifting gears. In Andacollo, the operating issues there in terms of the ramp up, you keep citing the hardness of the ore. Do you expect that to be a pervasive issue through the ore body, or is this just in the initial couple of months? Can you put some insight there?
Donald Lindsay: Just before we get to that question, a final thought on your previous question. We also wouldn't want to commit too much capital for permanent structure items when we haven't finished the feasibility and got full permitting. But the capital we do commit is for mobile equipment, trucks that we could use at anyone of our operations, that's sort of thing. Now on the ore hardness issue. I'll turn it over to Roger Higgins.
Roger Higgins: Thank you. At Carmen de Andacollo, we do have a range of hardness of ores. And of course, hardness is a surrogate for all of the things about the ore, from when it's solid rock in the pit through to its ground to, in Carmen de Andacollo's case, about 150 microns for flotation. And that's a process through blasting, crushing, SAG milling and ball milling, and we have pebble crushers there as well. We do at most pits, and Carmen de Andacollo is no exception, have a range of hardness from very soft to quite hard ore. And what we're experiencing is not a particular change in that range of hardness, but some differences from what we were anticipating in what the proportions of hard and soft ore are and when it's appearing in the pit. It is, overall, a fairly hard ore body. And as the pit deepens, we will continue to have more hard ore rather than less.
Orest Wowkodaw - Canaccord Genuity: So does that imply you're going to have to make modifications to the mill?
Roger Higgins: Well, that's what we're looking at. In the short term, we are looking at what we can do. And the short-term being here through, say, the next 9 to 12 months, and the longer-term being incorporated into the expansion that we talked about earlier, the study for that. In the short term ,we're looking at adding crushing capacity to do some more of that work that's required between solid rock in the pit and fine ore for flotation, and we can do that by incorporating some additional crushing capacity. We have already been doing some of that using the crusher that's available on the site for the older leaching operations. And that's the plan we have in the shorter term.
Orest Wowkodaw - Canaccord Genuity: So is it fair to say that the hardness of the ore was underestimated, or was it more of the mill is just inappropriately designed?
Roger Higgins: It's the proportion between hard and soft that we are finding coming earlier than we anticipated. If we get back to the original work that was done, we expect to be harder ore to come in due course. But we did think we had 3 or 4 years, perhaps, before it got to the point where it is now.
Orest Wowkodaw - Canaccord Genuity: Okay. Thank you very much.
Operator: The next question is from Lawrence Smith from CIBC Asset Management.
Lawrence Smith - Blackmont Capital: Question on taxes, I guess, probably for Ron. The tax provision percentage-wise is kind of where I'd expect it to be. I'm always surprised by the relative proportion of cash taxes versus deferred taxes, i.e. I would have thought with the tax pools from Fording, there would've been a higher proportion deferred. What am I missing? And I guess what happens to sort of the taxes payable when those pools expire a couple years down the road? Thank you.
Ronald Millos: The cash taxes are primarily the mining taxes and then the foreign taxes. And then on the ongoing basis, the tax pools, there's about $10 billion of various tax pools that will shelter the Canadian income taxes, which is primarily the Coal operations, Highland Valley, Trail and our Duck Pond operation. How quickly we chew through those tax pools obviously depends on where the commodity prices go. But current expectations, we would be several years away. But overall, cash taxes will be the mining taxes, which are basically 13% in British Columbia and the foreign taxes.
Lawrence Smith - Blackmont Capital: Just to follow-up on that. So you're provisioning at roughly 34% tax rate. If you didn't have those tax pools, what would the effective tax rate be for the company?
John Gingell: The pools are, I'm going to get -- this is John Gingell, the Controller. The pools don't make any effect on our overall tax rate. The effect is the timing of the deductions, and so the overall tax rate wouldn't change.
Lawrence Smith - Blackmont Capital: Thank you very much.
Operator: The next question is from Greg Barnes from TD Securities.
Greg Barnes - TD Newcrest Capital Inc.: Yes, thank you. Following along the lines of Larry's questions. I'm curious to why the tax pools don't seem to be coming down very much. I think I remember a year ago at the Investor Day ,I guess November actually, the tax pool was $9.5 billion. I think it was in the presentation. And now it's $10 billion. I'm just trying to figure out what's going on.
John Gingell: I think it's still $9.5 billion. I think that was just a rounding in conversation. The other thing you've got to remember is that a lot of our overhead expenses, like interest and general and admin costs, are all in Canada. So they reduce our taxable income against which the tax pools would be applied.
Greg Barnes - TD Newcrest Capital Inc.: I see. But it does seem to be taking a lot longer to draw down those tax pools than I would have thought.
John Gingell: Or they're lasting longer.
Greg Barnes - TD Newcrest Capital Inc.: Yes, fair enough. But even at these very high commodity prices, it doesn't seem to be dropping as rapidly as I thought it would. Do you have a forecast of -- let's say, prices stay where they are. Do you have a forecast of how long those tax pools will last?
John Gingell: I'm not sure that we want to get into that kind of forecasting at this time.
Greg Barnes - TD Newcrest Capital Inc.: CRA may be listening, I guess. So the other question for you, Don, $50 silver. Is there any intention to hedge some silver here and lock in what is obviously a very attractive 31-year high price?
Donald Lindsay: That is tempting I must say, but our policy on hedging has been not to hedge unless we have a major capital expenditure. In which case, we might hedge a certain amount using a put option structure to ensure recovery of that capital that's invested. In this case, the benefit we're getting from the silver price is just through Trail, but that's not really the case. There's no capital associated with that. And the reason why we don't hedge otherwise unless we needed to protect the whole range of stakeholders, which we did in '08, but it's simply because the shareholders buy us for exposure to the commodities. And so clearly, we're in very strong position financially, so we didn't do that.
Greg Barnes - TD Newcrest Capital Inc.: I don't think they buy you to participate in the silver price, so it'd be nice to lock it in for 5 years.
Donald Lindsay: That's true, but once you've locked in the silver, then they'll say, "Why don't you lock in the copper?" And that is -- it's like once you're on the slippery slope, it's hard to go back. Anyway, that's the policy, and that's where it is for now.
Greg Barnes - TD Newcrest Capital Inc.: Okay, fair enough. Thank you.
Operator: The next question is from Kerry Smith from Haywood Securities.
Kerry Smith - Haywood Securities Inc.: Don, just on Antamina, you say in the presentation, you're 40% complete on the expansion. So I'm presuming if you're 40% complete, you've probably committed 70% or 80% of the capital. Just wondering how it's tracking with the estimated CapEx budget.
Donald Lindsay: Yes, I'll turn that to Ron.
Ronald Millos: Yes. The reference to the 40% complete is the actual concentrator construction itself. The total project that had an initial budget or a budget of USD $1.228 billion. That remains on forecast. To date, our total commitments are $784 million, and our expenditures to date are $420 million. And the total project progress is approximately 50% complete.
Kerry Smith - Haywood Securities Inc.: Okay, and it's tracking on that, let's call it $1.23 billion number then.
Ronald Millos: Yes, it is.
Kerry Smith - Haywood Securities Inc.: Okay. And just on the Coal inventory. In Q1, you actually produced, I think, it's around 4.4 million tonnes, and you actually sold almost 5 million tonnes. So you drew down the inventories pretty significantly. Will you build inventory back up, or did you have an excess inventory that you were looking to draw down at some point in time and that was a convenient time to do it?
Donald Lindsay: Bob Bell?
Robert Bell: Kerry, we did draw down our inventories on the calculation, and we're now at a more normal inventory level. So I don't think we'd attempt to make a big change in the inventory, but it will fluctuate from month-to-month just depending on what's going on in shipping and transportation.
Kerry Smith - Haywood Securities Inc.: And just on the equipment, the mobile equipment that you're buying. If you go back 2 or 3 years, there was a lot of concern about trying to get tires for trucks and just getting trucks themselves. Are you seeing any of that pressure this time around, because there a lot of companies out there ordering trucks particularly. I'm just wondering if you're starting to see delivery time is getting pushed out and getting more difficult to get tires, et cetera.
Robert Bell: We're seeing delivery times a little bit delayed, but basically we're sticking to the delivery times over the 3-year period that we had planned for. There's just been 1 or 2 months delay, but by midyear, we'll be right back on track with the number of trucks that we had planned. We've, so far, received 13 of the 37 new trucks planned and an additional 12 will be operational in second quarter and the further 13 in the third quarter. So we're doing fairly well with our plans there. In terms of tires, our Strategic Sourcing division has been working very hard to ensure that we have tire supplies for the existing and future trucks, and we're in a very good position for this year and next year.
Kerry Smith - Haywood Securities Inc.: Okay. Just one last question, Don, if I could, just on Andacollo with the whole water situation for an expansion. At the current throughput rates for the sulfides, which is, whatever it is, 40,000 or 45,000 tonnes a day, are you -- does that mill effectively need all of the water that you have today, or are you only using, call it, 2/3 of the water that you have permitted and available? Just how are the numbers?
Robert Bell: Thanks for the color. Kerry, no, the numbers on a per tonne basis are tracking fairly closely and, perhaps, slightly under the usage right for water that we had in the plant. So we're not using our full allocation at this point in time.
Kerry Smith - Haywood Securities Inc.: And so the allocation that you have available would allow you to go to what rate before you would need extra water?
Robert Bell: Well, we'd be comfortable at the design rate of 55,000 tonnes through the plant, and we may have a little excess. And we're doing a full inventory and an audit through the water cycle in the plant at the moment.
Kerry Smith - Haywood Securities Inc.: Okay, great. Thank you.
Operator: The next question is from Oscar Cabrera from Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch: So getting back to your Coal business, in the press release, there's mention of geological challenges and pit dewatering issues at Fording River and Cardinal River. Just wondering if you can provide a little bit more color on this and if you expect this to be an issue for production in 2011.
Donald Lindsay: Ian?
Ian Kilgour: Starting at the Cardinal River, we have gone through a phase in our mine development plan where a couple of the pits were restricted to pit bottom mining, where the water problem was far greater than it will be in the future. So we're working through that period, opening up new phases and expect to be through that area in the next couple of months. At Fording River, we have quite a wide range of seams, which became available during the year. We have been working through a thinner seam area. And by midyear, we'll be working into our thickest seam, which will be providing a higher ratio of that coal for the rest of the year. So that's the main factor in Fording River, and that will see us meet our production guidance from Fording for the year.
Oscar Cabrera - BofA Merrill Lynch: So should we expect production to be just a little bit higher than what you had in the first quarter, for the second quarter?
Ian Kilgour: We expect production or sales in the second quarter to be in the range of 5.5 to 6 million tonnes.
Oscar Cabrera - BofA Merrill Lynch: Would it be fair to say that if -- because you have inventory, I believe, of 1.2 million tonnes. So if we take that back, would that get us to what you're expecting to produce in the second quarter?
Ian Kilgour: We expect to be within that range for the second quarter.
Oscar Cabrera - BofA Merrill Lynch: And next, moving on to the Copper business. You've had consistently maintained your pre-feasibility study expected completion for Relincho and Quebrada Blanca as well as Galore Creek. But I don't think that you've mentioned a startup for Galore Creek. I know Quebrada Blanca you mentioned early 2016. Relincho, I believe it was 2017. Should we expect or are you expecting to start production in Galore Creek 2019, i.e. phased-in production?
Donald Lindsay: Maybe I'll start on that. The board hasn't reviewed the pre-feasibility study of Galore Creek yet, so it's premature to be releasing really any of the details, at this stage, related to that study. And that won't occur for a little while yet, so. But once we have gone through it in detail, we will give you an update on that status.
Oscar Cabrera - BofA Merrill Lynch: Thank you.
Operator: The next question is from Sal Tharani from Goldman Sachs.
Sal Tharani - Goldman Sachs Group Inc.: Just wanted to get some view on the Zinc concentrate production out of Antamina. I remember initial guidance was about 200,000 tonnes. First quarter shows you're earnings almost 330,000 tonnes. Do you still think that it's going to go down and will end up the same as you had guided of 200,000 tonnes, metric tons?
Robert Bell: Yes, Sal, that's correct. The Antamina ore body is variable. We run campaigns of different ores through that mill. And the first quarter has been high, but we are not expecting any overall change in the annual forecast.
Sal Tharani - Goldman Sachs Group Inc.: Great. Thank you very much.
Operator: The next question is from John Hughes from Desjardins Securities.
John Hughes - Desjardins Securities Inc.: Just one quick one, on the coal front again. Looking at all your costs side for the quarter, like cost of production as well as transportation, in your guidance going forward. And I think to hit your guidance, everything is, as a unit cost, is all volume related. And I'm doing the numbers, looking at your midpoint in your sales for the year, we would be looking at 6.6 million tonnes of sales in both Q3 as well as Q4. And I'm just wondering what is the, like, the biggest single change that is being undertaken to allow a sustainable 6.5 million tonne of quarter production level?
Donald Lindsay: Ian, over to you. Plants and trucks.
Ian Kilgour: Yes. The change is the significant increase in the amount of truck capacity that we're investing in, in the Coal business. Over the 2.5-year period, we're putting into operation 37 new trucks, which is a significant increase on our overall truck fleet. And essentially, we need to move more waste and more raw coal to be able to produce more clean coal. So that's essentially the biggest factor that's taking place. The other efforts to support that, of course, are in the plants, and we have a planned upgrade at Elkview coming into operation in the second half of the year, and as well our Greenhills plant is expanding from 4.2 to 5 million tonnes per year as we go through the second half of the year.
John Hughes - Desjardins Securities Inc.: Of the 3 shovels that have been delivered, are they all operating now?
Ian Kilgour: Yes, they're all operating, and they're all operating very well.
John Hughes - Desjardins Securities Inc.: Okay. And sorry, there's no -- I'm assuming, of course, with the sales guidance, which is very detailed, that the production guidance, particularly in the second half of the year, is going to be very close to the sales guidance?
Ian Kilgour: Yes, that's what we'd expect.
John Hughes - Desjardins Securities Inc.: Okay. And sorry, last one, maybe, Don, just in terms of strategy going forward, the discussions on iron ore potential acquisitions, looking at the iron ore scene and sector, is this a sector that Teck is interested in getting directly involved with?
Donald Lindsay: Well, as I said quite a few times, iron ore would be a good fit in our portfolio. Obviously, we're in the steelmaking coal business. We have steel companies as customers, and they buy both steelmaking coal and iron ore. So it would be synergies. But we also look at the growth that we have currently, and it's pretty substantial. And stay-the-course strategy looks pretty good to us. If we continue on the plan that we have and you look out, say, 5 years, so we're going to have substantially more copper production per share and coal production per share and Oil Sands Fort Hills will be coming on, and all of that -- throughout, we'll be paying a decent dividend and doing it all financed internally. And yes, some things will cost a little more or some things will take a little longer, but at the end of 5 years, it sure looks pretty good. And so if want to broaden and add something to that, it's got to be pretty good too. And so we're taking our time, looking at opportunities. But for the moment, stay-the-course strategy looks good to us.
John Hughes - Desjardins Securities Inc.: Right, thank you. That's it for me, operator.
Operator: The next question is from Tony Rizzuto from Dahlman Rose.
Anthony Rizzuto - Dahlman Rose & Company, LLC: Thanks very much for taking my question. You gentlemen were very good at talking about some of the issues you're facing from an equipment standpoint. I wonder if you could discuss some of the soft issues, some of the people issues. As a lot of companies are looking to increase capacities, I wonder how you're retaining the skilled labor and what kind of challenges you're just seeing there. Thanks so much.
Donald Lindsay: Okay. Well, that is an industry-wide issue, but I have to say that we've been pretty pleased with our results last year, in any event, in being able to attract and retain good people. We actually hired, I think, 1,500 people last year, which, in a pretty competitive market, surprised me on the upside in any event. We do invest an awful lot in various training programs and our franchise, in general, to attract and retain. We've had some good success in Chile, for example, as our business is perceived to be high growth there and a company on the move. We're developing good reputation. And the opening -- the inauguration ceremony that we had last week attracted a lot of attention at Carmen de Andacollo, and everyone from the Minister of Energy and Mining, Golborne, took note of it. So I think we'll be able to handle it. But it's not to say that the industry itself isn't facing a demographic issue, it is. And we'll just have to take it kind of quarter-by-quarter. So far so good.
Anthony Rizzuto - Dahlman Rose & Company, LLC: Thanks a lot, Don.
Operator: The next question is from Mark Caruso from Millennium Partners.
Mark Caruso - Millennium Partners: Thanks for taking my question. I just wanted to circle back. Don, you mentioned earlier about some of the rail performance. In the release, you guys are talking about port inventories. I didn't know if you could give sort of an update on how that's progressing.
Donald Lindsay: If I heard that correctly, it was both a rail and a port question. And I do want to say, we are very pleased with CP. There's a terrific working relationship. Their numbers have been excellent. And they had an awful lot of challenges as we did in the quarter, but they sure addressed them really well. So that's just an excellent working partnership there. On the port side, we did see some pretty good numbers in the second half of March. We were using Westshore, Neptune and Ridley. And if you looked at -- if you annualized the numbers for the second half of March, we actually showed tremendous capacity that we had more rail and port capacity than we would need if we'd already finished all of our expansion. I know that was just for a couple of weeks, and ships all arrived on time in the rest of it. But generally, the whole area is looking much better than it had before. We continue in discussions with Ridley on additional capacity there for when Quintette comes on. And as you have seen in our disclosures, the capacity at Neptune is going to increase. We're putting some capital in there. So by and large, we've seen a pretty big improvement.
Mark Caruso - Millennium Partners: Great, thanks.
Operator: The next question is from Orest Wowkodaw from Canaccord Adams.
Orest Wowkodaw - Canaccord Genuity: Thanks for taking my follow-up. Again, it's just a Coal question. Obviously, this year's production has been hampered by the strike. For next year, is it reasonable to assume that we should be somewhere around the 26 million-tonne range? And if you could give us some detail on what the current constraint is. You've signed numerous sort of port and rail agreements, I guess, in the last couple of months. Is the choke right now on production just your ability to produce to get the coal out? Or any insight would be appreciated.
Donald Lindsay: I'll let Ian comment in a minute, but just my take on it is that we've more or less addressed the throughput issues on the distribution side. And now it's a matter of time for trucks to arrive, waste to be moved, access to coal established and the plant capacity expansions to be finished. And it is time and logistics, and it should occur more or less on schedule. And then that would give us the capacity to get in excess of the 26 million that you referenced. Ian, do you want to add any comments to that or?
Ian Kilgour: I think it's a matter of getting the equipment that we're putting to production up to its full productivity. And that involves recruiting operators, training operators, ramping up the mine plants, so that they can actually cope with the extra equipment in each mine. And that's a process. And the mines adjust to that, and you move up to your higher level of production. And that's all in process, and you can see that there's additional trucks coming online each quarter, so there's a little bit of a delay behind those trucks coming up to where you get to your full production. But by the end of this year, it will be in a very stable position to be able to meet that 26 million tonnes or so next year.
Orest Wowkodaw - Canaccord Genuity: Okay, thank you very much.
Operator: The next question is from Ralph Profiti from Crédit Suisse.
Ralph Profiti - Crédit Suisse AG: I'm sorry to have to come back to the Coal business, but there was a little bit of a cautious language with respect to meeting vessel requirements. And I just -- are you incurring any demerge [ph] cost at the moment? And are there any demerge [ph] cost in the cost guidance for 2011? And then the second question is with respect to the inventories, you said they're around normal levels. I assume that to be around 2 million tonnes. Can we maybe get a split between what's at the mine and what's at the port? Thanks very much.
Donald Lindsay: Bob Bell?
Robert Bell: Well, first of all, demerge [ph] costs, those are included in the cost guidance. And right now, our demerge [ph] costs are not particularly out of line what you'd expect in the normal course. As far as the inventories go, I should say they're probably on the low side of ideal, but they're within the range of what you would say that we can operate effectively under and certainly meet our sales guidance. The big change in inventory is the shifting from the mines over to the port, where our port inventories had been quite low, and now they're a bit higher because we're shifting it to the port through the improved rail performance and improved performance of the whole supply chain.
Ralph Profiti - Crédit Suisse AG: Great, thanks very much.
Operator: The next question is from Brandon Bradford [ph] from VB Capital Partners.[ph]
Unidentified Analyst: I just jumped on, so you may have answered this. But what is your own price met tonnage for the second half of the year? Thank you.
Donald Lindsay: You're referring to sales that our own price, as in not contract. Our contracts are negotiated on a quarterly basis, so we've only just finished and provided guidance on our pricing for the second quarter. And we won't start the third quarter pricing until sometime during the third quarter.
Unidentified Analyst: Okay, thank you.
Operator: There are no further questions registered at this time. I would like to return the meeting to Mr. Lindsay.
Donald Lindsay: Okay. Well, with that, thank you very much. We look forward to the results in the second quarter. And we're very pleased to have all the various operational challenges from the first quarter behind us. Thanks very much, all.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time, and we thank you for your participation.
Operator: Ladies and gentlemen, thank you for standing by. Welcome to Teck's First Quarter 2011 Results Conference Call. [Operator Instructions] This conference call is being recorded on Tuesday, April 19, 2011. I would now like to turn the call over to Mr. Greg Waller, Vice President, Investor Relations and Strategic Analysis. Please go ahead.
Gregory Waller: Good morning, everyone, and thank you for joining us this morning for Teck's First Quarter 2011 Earnings Conference Call. Before we start, I'd like to draw your attention to the forward-looking information slides on Pages 2 and 3 of our presentation package. This presentation contains forward-looking information regarding our business. Various risks and uncertainties may cause actual results to vary. Teck does not assume the obligation to update any forward-looking statement. And at this point, I'd like to turn the call over to Don Lindsay.
Donald Lindsay: Thank you, Greg, and good morning, everyone. Thank you for joining us. I will start with a review of the results for the quarter, and then turn the presentation over to Ron Millos, our Senior Vice President, Finance and CFO, to address the more in-depth financial topics. I should say a number of other members of the management team are on the call this morning and available to answer your questions. Turning to Slide 5, there are a number of highlights in the quarter. Revenues this quarter were over $2.3 billion. Gross profit before depreciation and amortization was over $1.1 billion. That's up over 30% from the first quarter of 2010 and, compares to revenues, being up 25%. First quarter profit was $461 million and EBITDA was just over $1 billion. I would like to note that our profit is reported under IFRS for the first time this quarter. Although the conversion did not have a significant impact on our profit, we urge you to go through the financials to become more familiar with some of the changes. Slide 6 shows our adjusted profit for the quarter, which removes unusual items in a comparison to last year. Adjusted profit of $450 million or $0.76 per share on a fully diluted basis is 124% higher than the adjusted profit per share last year. I would note that the first quarter is traditionally a seasonally weaker quarter for us due to winter weather impacts on our Coal business and, of course, reduced Zinc sales from Red Dog. So given the challenges that we had this quarter, we are pleased with the results. Continuing with the highlights for the quarter on Slide 7, our business fundamentals remained solid with strong pricing on both coal and copper. In Coal, the benchmark contract price for premium hard coking coal reached a record high, settling at USD $330 per metric tonne. Similarly, copper reached record levels during the first quarter of 2011, but they declined by quarter end. Underscoring our strong financial position is our $1 billion cash balance after dividends and capital expenditures in the quarter. As well, our net debt is at $3.7 billion and our net debt to net-debt-plus-equity now sits comfortably below 19%. Also during the quarter, we established a new four-year port agreement with Westshore Terminals. The agreement complements the growth objectives in our Coal business over the longer term, and it's all at fixed rate. Although technically not in the quarter, we are pleased to have reached a new labor agreement with the Elkview collective-bargaining group, and the new five-year agreement expires October 31, 2015. We show our view of comparative earnings for the quarter on Slide 8. The quarter was relatively clean, from the financial standpoint anyway, with no significant unusual items to adjust for. The quarter was certainly not clean from an operational impact point of view. We had some modest exchange derivative losses and minor gains from asset sales. Adjusting for these items, profit was $450 million for the quarter or $0.76 per share. Turning to Slide 9, we have summarized the guidance we gave for the quarter and our performance relative to that guidance. As previously indicated, our Copper production guidance for the year was reduced by about 15,000 tonnes. This is attributable both to the production impact we had at QB in Q1 and the ore hardness issue we're encountering at Carmen de Andacollo. About 10,000 tonnes of the production losses were in Q1, resulting in 75,000 tonnes of production for the quarter. The majority of the impact was due to the lost production at Quebrada Blanca. In Coal, we came in at the top end of our revised Coal sales guidance due to very strong shipping performance in the past, in the last two or three weeks of the quarter and, in fact, came in at the bottom of our initial guidance range of $5 million to $5.5 million. Coal costs finished the quarter within our revised guidance range as did pricing. Turning to our operating results for the quarter in our Coal business on Slide 10. Production sales were down year-over-year. Our production for the quarter was 4.4 million tonnes and sales came in just under 5 million tonnes. We currently expect to sell between 5.5 million and 6 million tonnes in the second quarter of 2011. The average realized price for the first quarter was USD $207 per tonne relative to benchmark prices of $225 per tonne for the premium brand of coal. First quarter of 2011 unit site costs were $76 per tonne, and unit transportation costs of $34 per tonne gave us a combined cost of CAD $110 per tonne. A number of factors contributed to noticeably higher site costs: The Elkview strike, number one, severe winter weather condition and equipment issues, all reduced coal movement and resulted in increased fixed costs on a unit basis. And furthermore, higher strip ratios, various repairs and external services all contributed to higher costs during the quarter. Slide 11 is meant to help put some context to the winter conditions that we referenced, and I understand that some in the financial community were having difficulty understanding the challenges that winter weather brings. Well, these pictures show an avalanche on our mainline from the Elk Valley to the port. And the photograph on the left puts the scope of the severe winter conditions in perspective, and keep in mind that this is one that we could actually get a picture of. The picture on the right emphasizes the scale of the avalanche. And this is just an example of the many challenges that we were faced with this quarter, including derailments, generally heavy snow, unusual cold and mechanical failures at the port. And elsewhere, of course, we had three years or more worth of rain in just a few days at QB. So frankly, it was a miserable quarter. Turning to the Coal price in Slide 12. The chart on the right compares our average realized coal prices with the benchmark price. There are a number of factors that caused our realized price to be different from the benchmark price. Firstly, the benchmark is for a premium hard coking coal product. Our product mix is 90% hard coking coal, but this does mean that it also consists of 10% weaker coal and a little bit of thermal, which impacts overall realized prices. It's important to note this split is not constant, and it fluctuates quarter-to-quarter. Secondly, carryover volumes still exist each quarter, although much lower than what we used to see under an annual contracting system. And this is typically about two weeks of production. In this quarter, it'd be about 1.4 million tonnes that we will carry into the second quarter. About 1.2 million tonnes of this will be delivered in the second quarter, and approximately 200,000 to 700,000 tonnes of both first and second quarter carryover will be delivered in the third quarter. The result is, and this is probably the most important, is our overall realized price is expected to be in the range of $280 to $290 per tonne, and that's in the second quarter. Second quarter, yes. Slide 13 highlights the progress we are making on key equipment deliveries required to grow coal production in our existing fixed operation. Our target continues to be 28 million tonnes of capacity at the existing fixed mine, and then the plan to restart at Quintette by 2013 will add another 3 million tonnes for a target of 31 million tonnes in total. The chart on the right highlights our anticipated truck deliveries. 37 new trucks by the end of the third quarter of 2012 with 13 of them already delivered and in service. At the same time, we are expanding our plant capacities at Elkview and Greenhills. Both expansions are projected to be completed this year, and hopefully, Greenhills in the third quarter and Elkview in the fourth quarter. Lastly, we have increased our workforce by 600 people in the last 2 years, and we continue to add people as we grow our operation. Our ability to produce more coal is all about more equipment, more plant capacity and more people, and we are making good progress in all of these metrics. We certainly have the reserves. In our Copper business unit on Slide 14, overall production was up 4% versus Q1 last year. However, the increase was not uniform across concentrate and cathode. Production of copper concentrate was up over 21% mainly due to Carmen de Andacollo and Antamina. The increase in production was slightly offset by lower production from Highland Valley Copper as a result of lower ore grades. Conversely, cathode production was down 7,000 tonnes. That's primarily due to the unusual and heavy rainfall experienced at QB. And due to the lag times involved in our leaching operation, this will have some impact on 2Q as well. Higher revenue on weaker sales volume was the result of substantially higher copper prices. Copper prices averaged USD $438 per pound in the quarter compared with $329 in the same period a year ago. Turning to Slide 15. We announced last week that we are commencing the feasibility study for expansion of copper production at our Carmen de Andacollo mine. We are currently addressing the ore hardness issue, which is restricting plant throughput, by evaluating some shorter-term measures to increase crushing capacity. The proposed expansion, which includes an additional SAG mill, ball mill and other associated plant equipment, is aimed at increasing annual production at Carmen de Andacollo by approximately 35% to 40% from the current design rate to 75,000 tonnes per day of ore throughput and potentially to 100,000 to 120,000 tonnes of annual copper production. The study will involve drilling to confirm additional ore reserves and will address the key issues of availability of processed water and the permitting requirements. The study is expected to be complete by the end of the fourth quarter of 2011 and our early take on it is this is one of the most efficient uses of capital that we can find. Slide 16 shows the current status of the expansion to the Antamina concentrator. And at this point, I'll turn it over to Tim Watson, our Senior VP, Project Development.
Tim Watson: Thank you. The photograph above shows the expansion to the concentrator, which includes: a second SAG mill, which is shown on the left-hand side of the photograph; a fourth ball mill, which is shown in the center as well as behind the extended crane boom; as well as an expansion to the copper flotation circuit and zinc concentrate circuits. And the status of the construction of those two circuits could be seen on the far right-hand side, the tank shown in yellow. Thank you.
Donald Lindsay: Thank you, Tim. Turning to our Zinc business, Slide 17. The Zinc concentrate production for the quarter was approximately 2% higher than last year. At Red Dog, despite a 4-day weather-related shutdown, just another part of the quarter, higher mill throughput resulted in a significant increase in production. But Antamina, production declined due principally to a lower proportion of copper-zinc ore. It was 49% for the current quarter compared to 58% last year. As in previous quarters, I should note that even though we show Antamina's share of zinc production in these figures, the financial results of Antamina are reported in our Copper business. Lead concentrate production was 39% lower than the first quarter last year due to lower feed grade and recovery impacted by a near-surface, weathered ore from the Aqqaluk pit. At Trail, production of refined zinc was 5% higher than the same period last year due to improved online time and higher plant throughput. Overall, our Zinc business contributed $167 million in cash gross profit this quarter. In our Energy business, we continue to make progress across all our projects. At Fort Hills, engineering studies in both design and costs are ongoing. The timeline continues to anticipate a project sanction decision by the partners in 2012. Suncor has provided a forecast project spending estimate of $198 million for 2011, of which our share would be $54 million and that includes our earnings commitment. At Frontier and Equinox, we are working on pre-feasibility studies and expect to be ready to file a regulatory application in the second half of this year, and that would kick off the permitting process. At Lease 421, we completed a seismic program, which will assist in siting future drillholes. And beyond that, exploration is ongoing, and we hope to be able to declare an initial continued resource in the 2012 to 2013 time frame. I'd now turn the call over to Ron Millos to address some of the financial issues.
Ronald Millos: Thanks, Don. On Slide 20, we've summarized our changes in cash for the quarter. Our cash flow from operations was $874 million in the first quarter, which is up 54% from the same period last year. Our working capital change was negative this quarter due mainly to a $100 million reduction in the use of the facility that we used for factoring our coal receivables. Capital expenditures and investments were $244 million for the quarter, including $83 million on sustaining capital and $143 million on our major development projects. The major development projects include: $26 million for stripping at Highland Valley Copper mine life extension project, $18 million for Antamina's expansion, $14 million on QB hypogene project and $49 million at Teck Coal. We paid $177 million in January to settle our semiannual dividend of $0.30 per share that we declared in November of 2010. And after allowing for our minority partner share of cash and the effective exchange rate changes, our cash increase in the quarter was $214 million, and we ended the quarter with just over $1 billion in cash. On Slide 21 shows our final pricing adjustments for the quarter. Our pricing adjustments are now included in nonoperating income expense. Pricing adjustments were previously included in our revenue or concentrate purchases as appropriate. This is a presentation change only, and there's been no change to the methodology and how we calculate the pricing adjustments. Total adjustments for the quarter were negative $28 million on a pretax basis and about $18 million on an after-tax basis. In Copper, we had about 100 million tonnes at the beginning of the quarter, and the price dropped $0.12 per pound. So we recorded a $14 million in negative adjustments, and we also incurred a negative $2 million adjustment in Zinc. Silver works in the opposite direction as this represent settlements outstanding on the purchase of silver contained in concentrate. On average, we had over 2.4 million ounces of silver payables outstanding for the quarter and the price increased by just over $8 per ounce. This resulted in a negative $12 million adjustment. And as always, just remember, when analyzing the impact of price changes in the adjustment, refining and treatment charges, the Canadian-U.S. dollar exchange rate must be included in your calculations. And when trying to analyze the impact on earnings, you need to consider the impact of taxes and royalties. Turning to Slide 22, I'd like to highlight the guidance we've given for the second quarter of 2011. Again, you should be aware of the seasonality in zinc and lead concentrate sales due to the shipping season at Red Dog. Zinc concentrate sales at Red Dog are expected to be 77,000 tonnes, and we are sold out of lead with all the sales occurring in the latter part of 2010. So there will be no lead sales in the second quarter. We expect Coal sales to be in the range of 5.5 million to 6 million tonnes in the quarter and average realized pricing to be between USD $280 and USD $290 per tonne. And this includes the impact of all types of coal sold, expected carryover and expected spot sales. This takes into account the 1.2 million tonnes of carryover that Don mentioned earlier in the call. Coal costs for the year are expected to be in the range of $63 to $67 per tonne per site cost and $30 to $34 per tonne per transportation cost, and those are all Canadian dollars. As mentioned earlier, settlement adjustments are dependent on the direction of prices, and you need to factor in the effects of treatment and refining charges, royalties, exchange rates and taxes. So those are some of the key items to consider as you develop earnings estimates for the second quarter. I'd also like to update the capital spending guidance for 2011. At our fourth quarter conference call, we stated that our spending was expected to be about $1.4 billion for the year. We now expect the spending to be just over $1.5 billion, and the major part of that increase is due to additional spending anticipated for the potential reopening of the Quintette mine. I'll now turn the call back to Don Lindsay.